Operator: Good afternoon, ladies and gentlemen, and welcome to the Deutsche Börse AG Analyst and Investor Conference Call regarding the Q2 2021 results. At this time, all participants have been placed on a listen-only mode and the floor will be opened for questions following the presentation.  Let me now turn the floor over to Mr. Jan Strecker.
Jan Strecker: Thank you, and welcome, ladies and gentlemen. Thank you for joining us today to go through our second quarter 2021 results. With me are Theodor Weimer, Chief Executive Officer; and Gregor Pottmeyer, Chief Financial Officer. Theodor and Gregor will take you through the presentation. And afterwards, we will be happy to take your questions. The presentation materials for this call have been sent out via e-mail and can also be downloaded from the Investor Relations section of our website. As usual, this conference call will be recorded and is available for replay. Let me now hand over to you, Theodor.
Theodor Weimer: Thank you, Jan. Welcome, ladies and gentlemen. Let me start today's call with a short update on the implementation of our strategy, Compass 2023, which we introduced last year. Afterwards, Gregor will be presenting the financial results, as always, in pretty much detail. Let me first summarize our growth strategy in financial terms on Slide 1 of the presentation. With Compass '23, we are pursuing a simple but realistic growth formula. We think we can achieve 10% net revenue growth and 10% EBITDA growth on average per annum between 2019 and 2023. With regards to net revenue, we have built a strong track record of consistently achieving 5% secular growth, accelerating the M&A growth to 5%. What we are planning is very realistic over a 3-year time frame from our point of view, especially after closing of the ISS transaction earlier this year. The COVID-19 pandemic has made the macro environment we operate in extremely dynamic. But the underlying secular drivers for our business, including a trend from OTC to on exchange, the shift to passive and proliferation of ESG are fully intact. We will also continue to pursue our M&A agenda with undiminished force rather than engaging in complex transformational projects that would tie up resources across the entire group and could be perceived as an expression of megalomania by the investment community. We are making use of inorganic growth to increase our breadth and scale across the different asset classes. This strategy has already worked fairly well for us. So we are going to stick with it. As we assume that M&A on average dilutes our EBITDA margins, we are targeting an increase of organic EBITDA margins. Next to top line growth, continuous improvement will be a key measure to capture efficiencies, ensure the scalabilities of our existing business. With this, we should be able to increase the organic EBITDA margin by a few percentage points until 2023. Cyclical growth beyond our expectations, for instance, as a consequence of the starting speculation around inflation and interest rate development would result in an additional improvement of our EBITDA margin. Since the announcement of our Compass 2023, midterm targets last year, we have made good progress, as you can see on Slide 2. As you all expected, net revenues in the first half of this year was under some cyclical pressure because of the record activity levels at the beginning of last year. However, we were able to successfully mitigate these effects with continued secular net revenue growth and an increasing M&A contribution. Due to the cyclical headwinds we experienced, we decided to manage the organic operating costs as prudently as possible, and also our continuous improvement efforts are paying off. Therefore, the overall operating cost increase in the first half of the year was entirely driven by consolidation effects. With this, we are well on track with our semiannual results to deliver upon our EBITDA guidance for 2021. The development is also fully in line with the expected Compass 2023 growth trajectory. Let me now touch upon 2 other important key performance indicators that we use to measure the success of our strategy. The first one on Slide 3 is the share of recurring net revenues, which has steadily increased over the last couple of years. Today, more than half of our net revenue is based on fixed fees, subscriptions or license fees and the STOXX recurring. Looking at different sources of growth until 2023, we are expecting a further increase of recurring net revenue in the years to come. We feel that it's just somewhat underappreciated by the market as the focus on some of the cyclical dependencies like equity market volatility is still almost as high as it was in the past when our revenue streams look completely different. And also, please do keep in mind that transaction-related net revenues does not just contain cyclic components, it also includes many secular growth components like product innovation at Eurex, the trend towards renewables at EEX and the OTC opportunity at 360T. The second important KPI is the share of ESG-related net revenue on Slide 4. The ISS acquisition has also helped us grow our exposure to related products and services. And more importantly, it is positioning us extremely well to benefit from the significant ESG growth opportunities across the group going forward. At the same time, we are also supporting the transformation towards a sustainable company, but we are not only committed to this, we are also aiming at improving our own corporate ESG footprint. For instance, reaching net zero climate neutrality by 2025, 25 years ahead of the official target of the European Union, shows that sustainability is also part of our DNA as a corporate. The most recent milestones in implementing our M&A strategy was the announcement of the acquisition of Crypto Finance at the end of June, shown on Slide 5 on our presentation. While financially, this is a rather small transaction, strategically, it is an important step on our way to building a trusted and fully regulated digital asset ecosystem in Europe. We identified Crypto Finance as an ideal partner because it gives asset managers exposure to its new asset class on its way to institutionalization in a fully regulated environment. As part of Deutsche Börse Group, the business will be further scaled. Its range of services will be expanded, and we intend to make it accessible for our existing participants. Before I hand over to Gregor, let me touch upon a growth opportunity that is gaining more and more in importance. Over the years, we have built up a very successful portfolio of minority investments which includes a broad range of attractive businesses along our entire value chain, as you can see on Slide 6. The strategic angles range from exploiting joint business development opportunities by getting access to innovative technology to making financially attractive investments. With this, we are supporting our core business to handle the speed of changing landscapes, incorporate various digital trends and transition to fully automated and digitized offerings. Altogether, we have invested more than EUR 200 million across our corporate venture capital portfolio and other minority investments, and we are planning to increase this further. Since most of the investments are still accounted for at acquisition costs, they represent significant hidden reserves. However, in the first half of 2021, we saw earnings contribution from our stakes at Clarity AI, the Illuminate fund and 360X amounting to a double-digit million euro figure. While this is certainly not recurring in nature, we would expect our minority investments to be a more regular contributor to our annual results going forward. With that, let me now hand it over to you, Gregor.
Gregor Pottmeyer: Thank you, Theodor. Let me start with the detailed financials in the second quarter on Page 7 of the presentation. Net revenue amounted to EUR 882 million, and included, amongst others, the consolidation of IFS for the first full quarter as well as positive valuation effect of around EUR 40 million related to the accelerated full purchase of Fund Centre from UBS. The operating cost amounted to EUR 383 million and is not adjusted for exceptional items anymore. On an organic basis, operating cost declined by 2%. The EBITDA includes the result from financial investments of EUR 20 million, which benefited from the continued positive development at Tradegate and from the new valuation of our stake in Clarity AI and 360X. We are now assessing those stakes on a fair value basis to make them more visible in the income statement. Depreciation amounted to EUR 71 million and includes the effects of around EUR 25 million related to purchase price allocation of acquired assets in accordance with IFRS, with ISS being the most recent addition. On this basis, the cash EPS amounted to EUR 1.79, whereas the normal EPS stood at EUR 1.69. On Page 8, we showed the development of financials in the first half year of 2021. We were faced with quite strong cyclical headwinds because of the record activity levels at the beginning of last year, which were very much driven by the initial COVID outbreak and the much lower equity market volatility in the second quarter this year. However, we were able to offset those effects with continued secular net revenue growth and an increasing M&A contribution. As Theodor already said, the macroeconomic consequences of COVID-19 are cyclical headwinds for us, which means that we need to manage our organic operating cost even more carefully than we already do. Therefore, the overall operating cost increase in the first half year of 2021 was completely limited to consolidation effects. On Slide 9, we provide an overview of the 3 components of net revenue growth in the first half of the year compared to the same period in 2019, which is the Compass base year. Consolidation effects resulted in additional EUR 141 million net revenue or a CAGR of 5%. This was mainly driven by the addition of ISS, Axioma, Fund Centre and Quantitative Brokers. Secular growth being the key component of our strategy to increase net revenue developed as planned, and increased by EUR 169 million or a CAGR of 6%. All segments helped to achieve this, with Clearstream, Eurex and IFS being the largest contributor. The cyclical growth contribution was negative at minus EUR 19 million or a CAGR of minus 1%. This was driven by the much lower net interest income at Clearstream and lower trading activity at Eurex, particularly in the index derivatives. Reported operating cost shown on Page 10 totaled to EUR 730 million in the first half of the year. The only driver for the overall increase of 10% compared to the previous year were consolidation effects. This was mainly driven by the consolidation of ISS, Quantitative Brokers and Fund Centre. Besides that, as I said, we managed the cost very prudently, resulting in a small decline of organic operating costs. I'm now turning to the quarterly results of the segments, starting with Eurex on Page 11. In the second quarter, we saw the lowest level of equity market volatility since the initial COVID-19 outbreak. As a result, index derivatives and margin fees declined significantly against the previous year. This was partly offset by speculation around inflation and long-term interest rates, which made interest rate derivatives grow by higher double-digit percentage rate. In OTC clearing, we observed a further increase of market share in euro-denominated products to overall 22% in the second quarter. Even more encouraging is the fact that our market share in long-dated euro interest rate swaps increased to 18%. The net revenue performance is mainly the result of additional incentives. For instance, for portfolio switches to further accelerate client onboarding as well as volume and market share growth in the post-Brexit environment. Other net revenue in the Eurex segment benefited from the consolidation of Quantitative Brokers at the end of last year, which contributed EUR 5 million in the second quarter.  Now our commodity business, EEX, shown on Page 12. We saw an overall high single-digit net revenue growth and a more than proportional increase of EBITDA. While the power markets were faced with reasonably high comparables, the gas and carbon emission products saw solid levels of cost. Let me now turn to Page 13 and the FX business. Even though FX market volatility in the second quarter was lower compared to the same period last year, we saw good volume and net revenue growth levels. This was particularly driven by secular growth in the core business and the strong performance of FX for us. Next, I'm turning to Page 14 and our cash market, Xetra, where we saw a decline in activity due to much lower equity market volatility in the second quarter. This was partly offset by final proceedings relating to the sale of the Regulatory Reporting Hub last year, from which we earned around EUR 7 million in the data line item. The result from financial investments in Xetra segment amounted to EUR 7 million and benefited again from the positive development at Tradegate. Therefore, the EBITDA showed double-digit growth. The results in our post-trading segment, Clearstream, on Slide 15, continued to be driven mainly by the significantly lower levels of net interest income. In the third quarter, the 2020 comparables will decline to EUR 14 million and will thus be much more like-for-like compared to the current level. The investment fund services segment, which you can find on Page 16, continued its strong performance. In addition to the book gain of around EUR 40 million relating to the accelerated full purchase of Fund Centre from UBS, we also saw substantial secular and inorganic growth. Secular growth was based on the continuous onboarding of new clients and funds. Inorganic growth was driven by the fund distribution business, which is performing better and better from quarter-to-quarter. Adjusted for the book gain and the M&A effect, net revenues still increased by a sizable 33%. Slide 17 shows the Qontigo segment, which benefited from higher single-digit growth across most line items. The EBITDA includes a gain of around EUR 10 million from the new valuation of the stake in Clarity AI. On Slide 18, we show the new institutional shareholder services segment, which now includes a full quarter of financials. More than 70% of net revenues for ISS are generated by ESG products and services in a broader sense. This includes the corporate solutions, ESG analytics and governance solutions businesses. Non-ESG comprises the market intelligence and media businesses as well as a few smaller units. Since we are not adjusting for exceptional items anymore, net revenue and operating costs of ISS included some nonoperating items relating to the transaction and integration. We gave a guidance for ISS for more than 5% net revenue growth, which was perceived by some market participants as being on the lower side, but double-digit growth is certainly a better reflection of our actual ambition. Besides benefiting from secular ESG trends, those growth rates will also continue to be driven by M&A. Since closing our acquisition in February, ISS announced 3 M&A deals. First, in April, Stockholm-based Nordic Investor Services, a leading regional corporate governance advisory firm. Second, in May, New York-based Genesys Research, a leading provider of product intelligence to the asset management and insurance communities. Three, just a couple of days ago, Sydney-based Rainmaker Information, who offer a market-leading combination of proprietary data sets, industry benchmarking research and market share reporting for Australia. The last page of today's presentation shows our guidance for 2021 in the context of our Compass 2023 midterm plan. Although Eurex, for cyclical reasons, developed slightly weaker than expected, we are fully in line with our guidance for the full year of around EUR 3.5 billion net revenue and around EUR 2.0 billion EBITDA. This is because we saw better-than-expected secular growth, in particular in the IFS segment; inorganic growth; positive valuation effects; and a favorable development of different minority investments.  This concludes our presentation. Thank you for your attention. We are now looking forward to your questions.
Operator: [Operator Instructions] And the first question comes from Johannes Thormann from HSBC.
Johannes Thormann: Johannes from HSBC. First of all, a follow-up on Crypto Finance. You said EUR 20 million in 2021. Is this a pro forma figure for the full year? What can we expect for the next year, a relatively stable development or rather an upward trajectory in revenues? And secondly, sorry for being the devil's advocate, but you said yourself M&A dilutes the EBITDA margin and asset prices have increased massively. So larger deals in the fund services space and other areas seem too expensive for you in the past. Is it time to take a breather in M&A and probably just do a share buyback this year to use your funds and wait until the market has normalized?
Gregor Pottmeyer: Yes. Thanks, Johannes, for the 2 questions. The first question around Crypto Finance. Yes, the EUR 20 million net revenue is a full year number for 2020. And for the next year in 2022 -- 2021, sorry -- and for the next year in 2022, we expect high double-digit growth for that asset. So it fully meets our expectation in that new asset class, what we call digital assets. Second question -- maybe to add on, Crypto Finance already today has a good profitability and, obviously, margins will continue to increase as it was a very scalable business. Second, with regard to M&A and share buyback. So we are convinced that we will continue with our M&A strategy. There are always opportunities in the market where we can do nice M&A deals. Therefore, our priority will continue to follow our path on M&A and not on share buybacks.
Operator: And the next question comes from Haley Tam from Credit Suisse.
Haley Tam: Could I ask 1 question then since that is the rule? With your Qontigo division, the revenues do look reasonable on a year-on-year basis, but obviously, are down from the second half run rate of 2020. And I just wondered, are you expecting the new business sales, new customer growth to actually drive revenues back to those levels on a near-term time scale? Or is your focus really more on EBITDA margin expansion here because I think even excluding Clarity AI, it was still a big uplift in EBITDA margin. So any color you can provide there would be much appreciated.
Gregor Pottmeyer: Yes. So Qontigo has had not a bad development in Q2. So even if you adjust on the analytics for the FX impact, so our analytics business has grown by 13% on a U.S. dollar basis. So that's obviously a good cash rate on the index business overall. So adding up, Qontigo would have grown by a double-digit growth rate if I adjust for that FX impact. There is still some headwinds out of the COVID situation. And we expect over time that we will come back to the growth rate what we have seen already in the past. And so we have a good confidence level that Qontigo is able to show double-digit growth to benefit from the secular drivers turn to passive investment, ESG index. So we are positive with regard to that, and we expect double-digit growth for the next time. With regard to the question growth and EBITDA margin, yes, our particular focus is obviously on top line growth, but EBITDA margin would not decrease. So that's at least my expectation, and there's even the chance to increase slightly EBITDA margin out of the fact that we also see some scalability here.
Operator: And the next question comes from Michael Werner from UBS.
Michael Werner: I have a question on costs. When it comes to Clearstream, we saw a noticeable uptick in costs on a year-on-year basis in the first half of 8%, and it really kind of stands out relative to the very strong cost discipline we've seen throughout the rest of the business. So I was just wondering if there was anything one-off there. I don't recall anything from a consolidation perspective. And then just from a higher-level perspective on costs, you indicated how the company has implemented very strong cost discipline this quarter and this half due to the cyclical headwinds. And I'm just wondering if these cyclical headwinds persist, how much longer can you kind of keep those costs down? I know in the past, you've talked about your desire to invest into growth. We've seen you do that inorganically, but within the business, I was just wondering how much longer this cost discipline could -- if it persists, could potentially impact future revenue growth?
Gregor Pottmeyer: Yes, Michael, thanks for the question. Yes, indeed, prudent cost management is important for us. So in times where we are, where we still have low volatility in the market and some cyclical headwinds. So management is committed to deliver on prudent cost management. With regard to Clearstream cost development, there is nothing very specific. But in principle, we invest here also in our new digital infrastructure. So that's a clear commitment what we do have here because we think -- and you are aware of our collateral management activities, what is now based on blockchain technology and we continue to expand that to the different product areas. And that is key for us that we will continue to invest here to build up, over the next years, a digital ESD and ICSD and based on new technologies. From a longer-term perspective, with regard to cost, there's also a clear commitment besides the prudent cost management that we invest in our business, invest to ensure that the secular growth will continue to be 5% or more than 5% over the next years. And it's on us basically to increase the financial flexibility doing, again, putting cost management. So we are able with our continuous cost improvement program that we are able to compensate at least inflationary pressure. And so that's our clear commitment. So first, to counteract if you have cyclical headwinds; and secondly, ensure strategic investments to ensure the secular growth in the future.
Operator: The next question comes from Philip Middleton from the Bank of America.
Philip Middleton: I wonder, could you say a little bit more about IFS? Obviously, that's a very strong growth rate. But could you put in context, please, the growth rate that the funds distribution business has provided, what lies behind that? And also what you can see there in the future? What will drive that forward in the future?
Gregor Pottmeyer: Yes. Thanks, Philip. Obviously, investment funds are currently the best-performing assets. And the good thing is we expect that this will continue also in the future. And the reason is in both areas, so in the settlement and custody, but also in the funds distribution. So in both legs, we expect double-digit growth here. And the reason is very easy. We have introduced now a superior solution into the market that is very cost efficient. So with our [indiscernible] platform, we have more than 50% cost advantage compared to the back office process in the bank. And therefore, the bank has a chance to do over 3 ways business with investment fund services at Deutsche Börse AG. So first is to connect basically to our platform; second, to outsource the business; and third, to sell the business. And we are very open and flexible with regard to the format. And we see here that we have a very long customer pipeline, customer demand. So that gives us high confidence that this will continue also in the future. And the same, basically, we see also in our funds distribution leg. So having had now this experience with UBS. So we are also confident that this will continue in the future.
Operator: Next up is Ian White from Autonomous Research.
Ian White: I wondered if you could provide any extra data points around equity index derivatives trading, Eurex. So I'm keen to understand your confidence that what we're seeing in terms of the recent weakness is purely a cyclical effect. So in simple terms, if I compare 2019, equity market volatility has been higher in 2021, but equity index volumes at Eurex have been significantly lower. So is there any extra detail you can provide there to help us understand your confidence that those headwinds are purely cyclical, please? I wondered if you could share detail on the breadth of investor participation or something like that to help us understand an extra level of detail there at all, please?
Gregor Pottmeyer: Yes. So obviously, as you rightly mentioned, so the volatility level is currently very low. So if you take the VIX, the volatility starts -- volatility back then in Q2, it was in the range of 15. If you take the average of the last 5 to 10 years, then the volatility level was in the range of 20 to 25, so dominantly higher. And in COVID time, it was around 80, so in Q1 2020. So that obviously is a strong indicator with regard to the volatility and market activity here. As we are now really on a very low basis, so looking forward, our expectation is really that, that volatility will increase over the next, let's say, 18 months. Due to the fact that we expect that the corona and COVID situation, obviously, can be handled in a better way that the confidence in the market will come back, that we will see, in general, growth already in the second half year -- this year, but also in the next year. Therefore, our expectation really is that from a cyclical perspective, it should change now and starting really in the second half year where we have also clearly lower comps compared to 2020. And so that we will get back even to a situation where we get some tailwind here from a cyclicality perspective. But the equity index business, we see also secular growth opportunities here, and just to mention that. So the MSI derivative topic here. So it's more than EUR 20 million. We expect to see a really strong increase and a strong customer demand here. We have the total return futures, also more than EUR 20 million already, where we see a strong increase in where we expected. In the dividend derivatives area, good opportunity for us to grow. So if you ask me for the outlook for the next, let's say, 24 months, so therefore, I am positive from a cyclicality perspective, again, as the comps are now completely different; and secondly, also from a secular perspective.
Operator: The next question comes from Bruce Hamilton from Morgan Stanley.
Bruce Hamilton: Just on sort of capacity for M&A. I guess on the sort of net debt-to-EBITDA metrics, you're at 1.8x. I think that's slightly up from where you were post the ISS close. But it means you're basically at the sort of capacity level. So what's the scope to run above that for a period without running the risk of a credit downgrade? Obviously, some of your European exchange peers have been comfortable running quite a bit above, or should we assume that any deals from here would need to be funded by share issuance, just to understand? And then secondly, so if I can be cheeky. On EEX, going back to Slide 12, I recognize pretty good growth. Although if I adjust for other, it looks like it was kind of flat on the trading businesses and other drove the delta. So what exactly within other is driving the growth? And is that sustainable, please?
Gregor Pottmeyer: Yes. So with regard to our M&A capacity, yes, we are currently or temporarily above the trade holds here. And obviously, we discussed it with our rating agencies. So the general understanding is that we are a very cash-generative business, and the cash will pick up very fast. And our view is unchanged with regard to our M&A capacity, that we still have capacity at the year-end in the range of EUR 1 billion to EUR 1.5 billion. We also need some money for the closing of the Crypto Finance. Therefore, I say it's a little bit less than the EUR 1.5 billion I told you last time. But in that range of, let's say, EUR 1 billion to EUR 1.5 billion, there is still enough available M&A capacity without using any equity. And with regard to M&A, there are also other opportunities. So about the format, partnership approach where you have seen that there's not always a need to own 100%. So in Qontigo and ISS, we partnered, had some external shareholders participating in that format or even we bring in something as we did with our STOXX business in the Qontigo. So there are different formats available to continue to do M&A. And in addition, that would be in the third step then, let's say, for a bigger strategic initiative, would also use our equity authority, what we got from our AGM. But obviously, the first 2 are the priorities from a Deutsche Börse perspective. The second question with regard to EEX, if I take the first half year, then our power derivatives business or the biggest contributor to the top line, there was a market reduction of more than 20%. And the good thing is we were able to win some market share. So the OTC total business was more down compared to our business. And here also, again, first half year, as the COVID is an important factor because in 2020, especially in the first quarter and also partially in the second quarter, we have seen high uncertainty in the market, so high volatility here. And that's why we still have this higher comp. But obviously, it disappears now in the second half year. And therefore, we also expect and that's also supported by the market view that we had a lot of discussions also with the energy and -- energy providers and suppliers here. So all market participants expect increased market volumes already starting in the second half year, and we should keep at least our market share, and even most probably, we can even increase it. From a secular perspective, we see also good opportunities to grow in the renewable energies. So we talked about just recently about voluntary carbon markets, what is of high interest from politicians and regulators, and also the hydrogen market. So that's what a lot of intensive discussions here. And we will ensure that Deutsche Börse with EEX is best positioned also to benefit from that growth in this area of renewable energy.
Bruce Hamilton: Got it. And can I just check, so the growth in other within EEX, could you just explain what was that?
Theodor Weimer: Yes. The last quarter was particularly low. So if you look at 2020, the level was lower than usual because of a couple of effects. But others, as Gregor has just mentioned, also includes the faster-growing CO2 certificate market, so that contributed to growth.
Operator: The next question comes from Jochen Schmitt from Metzler.
Jochen Schmitt: I have 1 question regarding the competitive landscape for European equity index derivatives trading and clearing. What's your take on CBOE's recent plan to grow in or to expand into this product area? That's my question.
Gregor Pottmeyer: Yes. Thanks, Jochen, for the question. Just to clarify here. So CBOE enters the market of equity options and futures, so single equity option and futures and not at least today, not in the index area. And therefore, yes, we will see. There were already many attempts of other competitors to enter this market. And obviously, that's not an easy move. But concrete question, no impact on European index. Certainly, I would also like to highlight. I think you are aware of that the open access provision most probably extended by another 2 years. So as EU commission and also ESMA announced that due to the opposition of the national regulators that, that provision will be postponed by another 2 years until mid of 2023.
Jochen Schmitt: Okay. Maybe just a brief follow-up. I thought based on an article in, I think it was yesterday's German daily, Börsen-Zeitung, that CBOE plans to set up new equity index products in Europe. The new indices but I will have another look on that. So thanks for your...
Theodor Weimer: Yes. It might be their own ones or other indices, but it's certainly not the blue chip indices the market is referencing to which are traded at Eurex. So I guess that's the difference. And obviously, we're talking about highly liquid futures here, where, as Gregor has mentioned, in the past, peers always found it extremely difficult to match our levels of liquidity.
Operator: The next question comes from Arnaud Giblat from Exane BNP Paribas.
Arnaud Giblat: I've just got 2 quick follow-ups, if that's okay. Firstly, since we -- on M&A, I'm wondering if you're earmarking any of your firepower for potential exits of General Atlantic out of Axioma, whether you've got an obligation to buy them out at some point? And secondly, on IFS, thanks for the update there. Could you perhaps give a bit more granularity in terms of the upsell potential from your acquisition of Fund Centre and services into the existing or the previous IFS book? What sort of clients are you targeting to try and sell more from distribution services to which countries, what sort of flows or uptake are you seeing from these new services?
Gregor Pottmeyer: Yes. So with regard to your first M&A-related questions, do we earmark something for the minority shareholders in ISS or in Qontigo. Yes, there are some exit options, but I do not expect that this will be triggered in a short-term horizon. So our understanding is that that's roughly a 5-year investment from these external partners, and therefore, there are no concrete elements to talk about or even to think about or to reserve some of our M&A capacities for these things. With regard to your second question around the investment fund services. Obviously, we see here now combining all our activities here of the portfolio we acquired. So starting with Zürcher Kantonalbank, and now we bring together here with our UBS Fund Centre asset. And so we are able to combine this. And therefore, we have now a much stronger position and what we can bring to the table, and we are also able to combine both elements. Also the settlement and the custody function, including the distribution area. So we -- and that's also kind of capability where you have better negotiation power and where you can also do some cross-selling. And obviously, as I mentioned, we have a strong demand here from a customer perspective. And I don't want to share now specific customer -- specific information as we are also confidential, but you can assume that a very broad interest from all banks to work together with Deutsche Börse in this area.
Operator: The next question comes from Benjamin Goy from Deutsche Bank.
Benjamin Goy: Thank you for the additional details on the minority investment portfolio and DB1 Ventures, specifically. I was just wondering, are these really just financial investments or the strategic operations? Or could we also see these becoming majority investments for you? And considering now your fair value approach, should we assume then once there's a new funding round, ideally, it's an upround, we will see some benefits in your strategic investment line? And yes, implying that, I don't know, the new run rate is double digits or certainly higher than the close to 0 we have seen pre-2020?
Gregor Pottmeyer: Yes. Thanks, Benjamin, for the question, and thanks for highlighting that topic here. And you've seen our comments here. So we have done a lot of good things here, investing EUR 200 million over the last 3 years. And so far, we are not able to show anything in our P&L, also positive, and we talked about a money multiple of more than 2x as shown purely in the equity, right? And therefore -- and that changed at least for the one or the other investment now, and it was Clarity AI. There is now a strong interest in the market where you see that the EUR 10 million contribution already in Q2, and most probably also an increase in the second half year, but depending on transactions here. So in the future, you will see that, that kind of fair value valuation than in the P&L. So it's a kind of crystallization -- value crystallization also in our P&L and not just in our balance sheet. And the same is true for us for 360X, where we just recently started. But the first round already took place, so that we were able to show another EUR 2 million. But at the end of the day, with that asset, we were going into completely nonfinancial assets, new assets, like real estate, like art or e-gaming, using our technology power under the leadership of our entrepreneur, Carlo Kölzer. And we really expect that there is a big opportunity to define here new markets. And if we are able to do so, then you should also see a nice increase here. And now we would see that as a fair value already immediately in the P&L. So every investment around you see here, then we have a new touch point for our fair value valuation. And then you will see that when I see some comments here -- from you here, commenting our -- on the results and -- I have seen though some [indiscernible] driven by one-timer. Yes, partly, it's true. But it's not true. Because M&A is already part of our strategy, right? And we even guided 5% M&A contribution. And now you see we are really delivering. Therefore, for me that -- these are not one-timers anymore. And even for this valuation topic, yes, obviously, it's not recurring. And I understand what you are interpreting. But I expect in the future that you will see that on a regular basis. So coming -- and I don't want to give the guidance now, but it will come on a regular basis. And that's why we changed it. So you will see that with regard to fair value in our P&L. And depending -- the other question was from a strategic perspective, yes, obviously -- currently, we see it as a venture portfolio. But if we see there is a strategic benefit for Deutsche Börse, then obviously, we would also consider to acquire the majority for the assets currently defined. So it's a venture portfolio, but we are very open and flexible. And if you see that, for instance, 360X, would go into the direction what we hoped for, then it would be obviously a strategic investment, and then we would try to get a majority and then we would consolidate it. And you would also see it immediately in the P&L via consolidation. So that's a little bit around that framework.
Operator: The next question comes from Kyle Voigt from KBW.
Kyle Voigt: I just had 1 follow-up regarding ISS. It looks like the EBITDA margin in that segment was around 23% in the quarter versus, I think, disclosures when the deal was announced at around 35% EBITDA margin. I'm just wondering if the margin differential was entirely related to one-off costs realized in the quarter? Or was that more around seasonality? And if there were onetime acquisition type costs in the quarter, I was wondering if you could quantify those costs that were realized in that segment?
Gregor Pottmeyer: Yes. Thanks, Kyle, for the question, and the chance to clarify that a little bit. So first of all, ISS is growing double digit. And that's obviously very good to see. And we were criticized when we said, look, it's 5% or above 5%. So with some criticism. And it's now good to show -- and now it's the first quarter where we are able to show that. And therefore, that's double-digit growth. And that's also our ambition level here. So that's obviously good to see that ISS is contributing to our growth path here. Your second and your specific question around the EBITDA margin, obviously, if you are able to go double digit, then you have also opportunity to show some scalability and to increase your EBITDA margin. And indeed, the 23% is not the operational margin we have today. The operational margin is in the range of 30% or slightly above that. And as there are some transaction-related costs already booked here, you are aware of our all-in cost -- all-in deposit level. So it's 30% plus already this year. And I would expect there's a continued increase over time that we will also achieve that 35% what we communicated.
Operator: And the next question comes from Andrew Coombs from Citi.
Andrew Coombs: Perhaps just a quick question on some cyclicality. You talked a lot about the volatility, expecting that to recover from here. But one of the things we haven't touched upon is the [ MTIs ] at Clearstream. You suggested it's probably trough this quarter. We've obviously got [ Jackson hole ] coming up, debate around [ tapering ] and then potentially Fed rate hikes as early as next year. So you could just provide us with an updated idea of sensitivity to Fed rates for the Clearstream [ MTI ] revenue, please?
Gregor Pottmeyer: Yes. So the EUR 12 million NII, you have seen at Clearstream is basically the current quarterly run rate roughly, right? And the question is now with regard to the upside potential here. So around we currently have some, let's say, EUR 15 billion customer cash. Let's say, 50% is U.S. dollar-denominated, 35% is euro-denominated and 15% other currencies. And most probably U.S. will be the first one who would react on the interest rate side, assuming that. So if you see a USD 7.5 billion exposure, then increase of 1% will translate in EUR 75 million additional NII on a full year basis. So that's basically the sensitivity what we have here. And yes, it's about your judgment when that could potentially happen, but that's basically the math.
Theodor Weimer: Ladies and gentlemen, it's a little bit unusual that I conclude the meeting without a direct question. Theodor speaking here. I recall exactly 1 year ago, right? After Q2, we had seen the Fed rate -- interest rate haircuts, right? and we had lift off and roll out [ 80 ] on the Europe side. And everybody was extremely concerned why -- is there any future at all for us. And quite frankly, we have said that even at the end of Q2 2020, we have said, "Listen, don't worry. We will get it done," and we have delivered the guidance. And on top of that, we've done our ISS acquisition. Now 1 year later, we are somehow bottomed out in the market, right? Why is this the case? Europe is roughly double-digit below last year given the exceptional high roller of last year, right? We are at the level of 15% on the role out side and only very few days, we are above 20%. And when we are above 20%, we can see it immediately in our numbers. So somehow, given the level of liquidity [indiscernible] in the market, given the liquidity out there, we need to assume that over the course of the next few months, nobody knows exactly some rollout will come back ultimately. So cyclicality is an option for us. Clearly, on the Clearstream side, it's very clear we have baked in all the negatives right now. And the pickups we will see on the Qontigo side, Axioma [indiscernible] side on the EEX side and 360T side. So overall, if I compare my own level of confidence about, do we achieve the numbers, the guidance of the year 2021 compared to how my confidence level was last year, I can assure you that our confidence level this year is not worse compared to last year. And of course, we have a couple of very interesting onetimers in there. They are somehow recurring meanwhile. We have consciously addressed the topic of the venture, which we have not played out before. But all in all, I think we are pretty well positioned for further growth and especially also on the bottom line side, that's where we are. So we are looking forward with some confidence to be very clear and open here.
Jan Strecker: All right. Thank you, Theodor. This concludes our call for today. Thank you very much for your participation, and have a good day.